Operator: Greetings and welcome to the Paysafe Second Quarter 2021 Earnings Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. If you would like to ask a question you may do so, . As a reminder, this conference is being recorded. It is now my pleasure to introduce your host. Kirsten Nielsen, Head of Investor Relations. Thank you. Please go ahead.
Kirsten Nielsen: Thank you and good morning. Welcome to Paysafe Second Quarter 2021 Earnings Conference Call. With me today are Philip McHugh, Chief Executive Officer, and Izzy Dawood, Chief Financial Officer. Before we begin, a friendly reminder that this call will contain forward-looking statements and should be considered in conjunction with cautionary statements contained in our Earnings Release and the Company's most recent periodic SEC report. These statements reflect management's current beliefs, assumptions, expectations, and are subject to factors that could cause actual results to differ materially from those forward-looking statements. Today's presentation also contains certain information that will constitute non-GAAP financial measures under SEC rules. You can find additional information about these non-GAAP measures and reconciliations to the most directly comparable GAAP financial measures in today's press release and in the appendix of this presentation, which are available on the Investor Relations section of our website. With that, I will turn the call over to Philip.
Philip McHugh: Thanks, Kirsten, and thanks to everyone for joining us. After another successful quarter, we are pleased to announce a strong set of financial results. Several key strategic wins continued progress on our cost transformation, and through exciting and complementary acquisitions. Let me begin with the financial highlights. Payment volumes grew 41% to 32 billion in the second quarter. Reported revenues were $384 million, an increase of 16% pro forma when excluding the Pay Later divestiture. On an adjusted basis, excluding the direct marketing business, Paysafe grew an impressive 23% compared to the prior year. Before we move onto the bids update, let me summarize a few highlights upfront. In North America iGaming, we recorded strong volume growth of 72% year-on-year, announced several customers win, and begin piloting our updated Skrill app with the 80 merchants. Outside of gaming, we won multiple deals in fast-growing Digital Commerce Verticals. Across digital goods, Crypto, Financial Services, and Travel. We saw revenue growth of 30% in the second quarter. We continue to see the combination of our e-commerce gateway with digital wallets, online banking, and eCash solutions as a true differentiator in the market, that would continuously be a very strong pipeline for growth. On our transformation program, we delivered 17 million of Cost reduction year-to-date, against a full-year goal of 30 million for the team continuing to identify new opportunities. Additionally, we're excited about the opportunity of two acquisitions we recently announced. Combined PagoEfectivo and SafetyPay, gives us a market leadership position in Open Banking and eCash Solutions in the fast-growing Latin American market. These transactions are expected to be accretive to 2022 and further enhanced our long-term growth as we drive multiple cross-selling opportunities across all Paysafe business units. We also announced that Chirag Patel will join Paysafe next month to lead the Digital Wallet business. Chirag joined us from Santander Group, where he was Global Head of Payments, and before that, Head of International Payments at Amazon. Chirag brings over 20 years of industry experience and we're excited to welcome him on board next month. On a final note, I mentioned a 23% adjusted revenue growth. To put this growth into context, during our first-quarter call, we talked about exiting a discrete set of direct marketing clients at the beginning of the year. And now we're in a transitional period as the market adjusts to new compliance. While this headwind is immaterial to total volumes, it impacts revenue and margins given the relatively high take rate of the business. So we think it's helped to provide this color. We'll cover this later in the presentation. But we are already seeing signs of a strong recovery and see this business as a tailwind in the first quarter of 2022. With that, let's move on to the strategy. Paysafe is a truly unique payments Company and is a quick snapshot of how we think about the breadth and depth of our solutions. We offer the complete spectrum of payment solutions, from card processing to digital wallets, eCash, and now especially with the acquisition of PagoEfectivo and SafetyPay, Open Banking solutions as well. We combine this breadth of payment solutions with strong risk management and a focus on deep verticals. It starts with our position as a global leader in iGaming with a focus on winning the fast-growing U.S. and now Canadian market. However, we are seeing the combination of our payment capability driving the growth pipeline in online gaming, Crypto, travel, digital goods, and financial services. Finally, we continue to execute on the scale of platforms and cost takeout. also, beginning to execute on our inorganic growth strategy. With that said, let's turn to the North America iGaming. Starting with the market backdrop, the U.S. continues to gain traction in mobile sports betting and iGaming legislation while we're also starting to see some strong signs of market opening in Canada. In the U.S, 17 states representing about 27% of the U.S. population have gone live with some form of iGaming. And seven additional states are expected to go live over the next 12 months, collectively representing about 45% of the population. Paysafe is live in 15 states today. We expect to be live in Wyoming, Arizona, and Louisiana with mobile sports wagering in the coming weeks. We're also eyeing interest in Connecticut and Maryland in the fourth quarter. Collectively, this would bring our total coverage to 20 states, representing 32 in population by year-end. Additionally, we're paying close attention to the timing around Florida and New York, which are big markets. Turning to Canada, we were pleased to see that single-event sports betting has been legalized, paving the way for provinces to license and regulate single event wagering online. At the provincial level, Ontario, which has a population of nearly 15 million, is advancing its regulatory framework for competitive gaming and Mobile Sports wagering market with expected marketing opening sometime in the first half of 2022. Paysafe has a longstanding history in Canada since 2010, where we have the leading position in processing payments for all of Canada's regulated online gambling. Overall, we're seeing positive regulatory momentum and Paysafe is well-positioned as a market leader, serving more than a thousand operators globally and with connections to more than 75% of the operators in the U.S. market. So that's a bit on the market. Let me highlight a few quick points on how we are delivering. It starts with our growth. As stated earlier, we saw North America volumes grow over 70% and revenues grew 48% in the second quarter on the back of continued momentum in new client wins. In May, Paysafe was recognized as a leading payments platform at the gaming Review's North America Awards. In July, we announced a partnership with Winant, integrating our payment gateway across 4 U.S. states. We continue to expand our presence in Michigan, where we went live with Golden Nugget in the second quarter. And we're looking forward to an additional launch later this year. Also in Michigan, we expanded our partnership with FOX Bet we have been -- where we have integrated Skrill Digital Wallet and PaySafe card. FOX Bet is operated by Flutter Entertainment, one of the biggest global gambling operators. And Paysafe has been supporting FOX Bet flagships sister brands, Poker Stars and BetFair globally for more than a decade. Turning to Skrill product enhancements, we previewed on our last call the initiative to expand the Skrill digital wallet with the folks on VIP players and instant funding capabilities. We're now piloting with 8 brands, including PlayUp,  Bet365, FOX Bet,  among other major brands. Our product upgrade will make the depositing and payout experience truly frictionless for players giving the operators a competitive edge when it comes to customer acquisition and retention. While it's still early days and this is just the first of several planned initiatives I'm pleased with the progress we've made implementing instant deposits and with the feedback from our clients and we build products focused on their needs. Lastly, we continue to strengthen our organizational focus and commitment to North America iGaming. We'll be announcing some exciting talent hires from the industry in the coming weeks. Outside of our game and we're seeing strong growth in winning new customers in attractive e-commerce verticals, including digital goods, Crypto, financial services, travel, and integrated verticals. In the second quarter, revenue growth from these verticals through 30%. We continue to see growth in online gaming and further expanded our eCash partnership with Microsoft integrated Paysafe card onto X-box. In the second quarter, Skrill went live with Riot Games, which is one of the significant online game publishers. We continue to also see Crypto as a major growth driver across our business. Since the first quarter, Digital Wallet added 22 cryptocurrencies available to trade, bringing the total to 37 cryptocurrencies in more than 80 markets. And we're now live on 30 exchanges. Equally, we continue to expand payment processing and capability to Crypto and are now supporting 8 exchanges with strong growth in our Crypto pipeline. Finally, we're expanding our banking partnerships to further enhance our position as a global specialist acquire to understand these market needs. In eCash, we continue to win new customers and financial services where Paysafe is becoming a meaningful player, including recent partnerships with Extra Finance, Repay, and Intellipay, enabling merchants to accept cash payments at over 60,000 retail partner locations across the U.S. Lastly, we continue to see good traction in travel. Paysafe is uniquely positioned to meet the specific needs of travel businesses with our safeguarding solution, providing more flexible funding and lower overall payment risk to the industry. We're seeing a strong response already, including our recently announced partnership with ARC, a leading provider of settlement services for airline transactions for the network of more than 200 airlines. Now turning to transformation, the playbook we implemented with Bill Foley continues to make good progress driving cost savings and accelerating key initiatives, such as our tech migration, and banking as-a-service. This year, we are targeting around 30 million cost savings, which is about $45 million annualized. June year-to-date, we've delivered 17 million, so we're well on track. At the same time, we continued to make organic investments to accelerate growth in U.S. iGaming and emerging verticals and further enhance our risk and regulatory platforms. In banking as a service, we announced our core digital banking platform, Bankable, on which we will further build out banking solutions for our consumers and merchants. We also went live with JP Morgan and signed two new banks in Europe to facilitate acquiring and wallet payments for crypto exchanges. Now let me turn to the fourth pillar of our growth strategy, M&A. We've been very active this quarter and announced two acquisitions, PagoEfectivo and SafetyPay, the leading eCash and open banking solutions in Latin American. There are three key messages I want to emphasize here. One, for Paysafe this establishes a strategic foothold in Latin America, increase the leading open banking solution for the region. Two, the PagoEfectivo SafetyPay serves verticals that are complementary to Paysafe in the areas where we want to grow, including iGaming, digital goods, financial services, travel, and e-commerce. Lastly, while these businesses are growing rapidly in their own right, we see material synergies where we can expand the reach of our eCash business, augment our leading PSP and digital wallets with open banking, and cross-sell across our international merchant base. We also see opportunities to expand it from their open banking rails into other emerging markets. We look forward to welcoming these companies to the Paysafe family. Before I hand it over to Izzy, I'll make a few comments on direct marketing. As we noted last quarter, we exited a discrete set of clients and referral channels as we entered 2021. Based on our views of the market and our anticipation of some upcoming compliance changes. So we're in a transition period this year, as the market adjusts to these new compliance rules. While we're seeing some improvement in the second half of the year, the market pullback is somewhat deeper and wider than we had anticipated. Izzy will take you through the financials, but we're expecting a strong recovery beginning in 2022. In June, net new merchants turned positive. So we're already seeing solid signs of a turnaround. Overall, we continue to like this business. It's specialized. It requires strong bank relationships and data monitoring. It's not easy to do. And we continue to invest in this business despite the market pullback, developing the strongest offering to support growth in the space. We see this space as a good tailwind starting early next year. With that said, I'll hand it over to Izzy.
Izzy Dawood: Thank you, Philip. Let's turn to Slide 11 for a quick summary of our Q2 Financial Performance compared to our guidance. Revenue was $384 million, which came in at the high end of our guidance, driven by a strong U.S. recovery and continued momentum in eCash. Adjusted EBITDA of $119 million was also at the high end of our guidance. Gross profit and expenses were right in line. Overall, we're pleased with our performance for the quarter. Turning to Slide 12, volumes of $32 billion up 41% compared to last year with growth across all three segments. And we saw sequential growth in both integrated processing and digital wallets. Total revenue for the second quarter was $384.3 million, up 13% year-over-year, driven by growth in all segments. excluding Pay Later, which was divested in October of 2020, revenue growth was 16%. As Philip mentioned, excluding the divested Pay Later business and adjusting for the direct marketing vertical, revenue growth was 23% compared to the prior year. And I will provide further details later in the presentation. Adjusted EBITDA for the quarter was $118.8 million, up 8% versus the prior year. We saw growth and margin expansion in both eCash and Digital Wallets, resulting in an adjusted EBITDA margin of 31% for the quarter. While there is noise, the year-over-year margin comparison, including the temporary code-related Cost reduction in 2020, the decrease in margin compared to the prior year primarily reflects business mix in integrated processing.  Lastly, free cash flow was $54.6 million and 46% conversion on an adjusted EBITDA basis. The lower conversion ratio this quarter was driven by significant tax payments, part of which we expect to be refunded in 2022. Year-to-date, our free cash flow conversion is approximately 70% consistent with our expectation of approximately 70% to 80% for the full year. Turning over to slide 13 for additional details on how we look at the underlying growth for the quarter. As our direct marketing business goes through a transitional year, we believe it's helpful to look through the results excluding this vertical. Excluding the Direct Marketing vertical and Pay Later, revenues grew approximately 23% compared to the prior year, while adjusted EBITDA grew 29%, reflecting over 140 basis points of margin expansion. This performance is consistent with the long-term growth thesis of the company and our strong growth and expanding margins. On Slide 14, I will quickly touch on our GAAP results. Net Income for the second quarter was $6.6 million compared to a Net Loss of $15.8 million in the prior year. Net Income benefited from a fair value gain of $39 million onto measurement of the warrant liability at period end. This was offset by an increase in interest expense of $20.2 million reflecting the acceleration of capitalized debit fees, as well as income tax expense of $16.7 million for the quarter. Going forward, we expect an effective tax rate of 25% to 28%. Let's move to slide 15 for a discussion on our segment results starting with eCash. Volumes increased 35% to 1.4 billion in the second quarter, and revenue increased 37% to $103.9 million, reflecting extended lockdowns in Europe and associated consumer behavior. Adjusted EBITDA was $43 million, an increase of 58%, resulting in an adjusted EBITDA margin of 41%, an increase of 550 basis points year-over-year. Moving to digital wallet in slide 16. Volumes were 4.7 billion, up 3% year-over-year. Revenue in the Digital Wallet segment for the second quarter was $97.3 million, an increase of 7% driven by higher Crypto and trading activity, normalized calendar sporting events, and favorable exchange rates, and partially offset by the impact of market exits. Adjusted EBITDA was $46.9 million, an increase of 16% compared to the prior year. Adjusted EBITDA margin of 48% increased 400 basis points year-over-year. Turning to Slide 17. Integrated processing volume growth was strong, up 54%, reflecting continued economic improvement led by the U.S. market and growth across most of our industry verticals. Compared to Q2 2019, volumes are up more than 40% as well. Revenue for the second quarter was $191.2 million, an increase of 7% compared to the prior year. On a pro, basis revenue increased 13% Year-over-year. Adjusted EBITDA was $45.8 million compared to $50.3 million in the prior year. Adjusted EBITDA margin of approximately 24% decrease year-over-year due to the merchant and channel mix, including the decline in our direct marketing channel. On slide 18, we can review our strong performance as you look through the discrete items that impacted Growth in the integrated processing segment for the quarter. On a pro forma basis and excluding the direct marketing vertical, revenue growth is approximately 28% compared to the prior year. The Direct Marketing headwind meaningfully impacted margins, given their relatively high take rate of the business. Adjusted EBITDA would have increased more than 30% reflecting strong operational performance for the segment. Moving to slide 19, I'd like to take a moment to discuss the take rates across our segments to help address some of the questions we have received from investors and analysts. Here you can see how our take rates by a segment have trended over the last few years. Given the consistent Paysafe average of 1.4%, the recent take rate compression happened entirely driven by business mix. Starting from top to bottom, eCash continues to generate a take rate slightly higher than our long-term expectation of 7%. Digital Wallet has also steadily increased its take rate, as you build out functionality and expand in new markets, such as FX trading and Crypto trading. We anticipate long-term take rates normalizing at 1.8% for Digital Wallet. Finally, the take rate in our integrated processing segment has decreased over the last few quarters from 1% last year to 70 Basis points this quarter driven primarily by business mix within the segment. The pie charts at the bottom of the page showed a meaningful shift in volume this quarter to integrated processing, which is driving the overall take rate lower. Turning to Slide 20, we're able to dig deeper into integrated processing. We're seeing robust volume growth from our U.S. acquiring business up 68% year-over-year, fueled by the macroeconomic recovery, albeit at a lower take rate compared to the prior year. Integrated e-commerce has been strong as well, growing at 48% year-over-year with steady take rates around 50 basis points. While the U.S. acquiring gross should moderate from these robust levels, we see strong growth continuing in e-commerce, which will further influence take rates in integrated processing. Overall, we're pleased by the momentum across the segment which is driving absolute growth in revenue and EBITDA for integrated processing and the Company. Now let's shift our focus to the balance sheet and liquidity on Slide 21, Total debt outstanding was $2.1 billion as of June 30th. And a net debt to last 12 months adjusted EBITDA ratio was 4.3 times in line with Q1. In June, we successfully refinanced our existing debt by accessing the long-term loan market and added the high yield market as a new source of liquidity for future needs. We also increased the size of our revolving credit facility to $305 million. With our recently announced acquisitions, we expect our pro forma leverage to rising to approximately 5.3 times. We remained comfortable with this temporary increase as the deal synergies and our growth profile will allow us to de-lever quickly and meaningfully make progress in 2022 towards our target of 3.5 times adjusted EBITDA. Now transition to guidance starting with the full year on slide 22. We are reaffirming our guidance for the full year. We continue to expect revenue in the range of $1.53 billion to $1.55 billion, and adjusted EBITDA in the range of $480 million to $495 million, excluding any impact from the two acquisitions. On slide 23, we have provided a supplemental view of our expected 2021 performance. Excluding Pay Later and Direct Marketing, and using the midpoint of our full-year guidance, revenue growth is expected to be roughly 14% with adjusted EBITDA growth over 20%, reflecting strong margin expansion. These growth metrics and margin expansion are in line with the long-term growth thesis. Now, turning to the third-quarter outlook on Slide 24. For Q3, we expect revenue of $360 million to $375 million on a reported basis. We expect continued strong growth in our integrated processing segment, and a return to normalized post-COVID seasonality, but quieter summer gaming activity in the European markets. We see a moderation of the growth rate in eCash and digital wallets. Gross profit is expected to be between $210 to $220 million and adjusted EBITDA between $95 million to $110 million. We expect to return to double-digit growth in the fourth quarter coupled with strong margin performance as well. This reflects continued to strengthen integrated processing, including the onboarding of several new e-commerce clients in late Q3 and early Q4. Stronger growth in digital wallets as well as sequential improvement in direct marketing. I will now turn the call back over to Philip for closing remarks.
Philip McHugh: Thanks, Izzy. In conclusion, we are pleased with the strong second quarter. We like the momentum we're seeing in North America iGaming. We're excited about the building pipeline in some of the faster-growing emerging verticals and happy with the discipline and execution of our cost program. We're seeing good signs of recovery and a return to growth in direct marketing, and we are especially excited to welcome SafetyPay, and PagoEfectivo to the Paysafe family. As you had additional opportunities to grow. Putting all of these pieces together, we continue to execute our strategy in line with the long-term growth outlook for Paysafe. Thank you. Now let's open up the call for Q&A.
Operator: Thank you. Ladies and gentlemen, the floor is now open for questions.  Our first question is coming from Dan Perlin of RBC Capital Markets. Please go ahead.
Dan Perlin: Thanks. Good morning, everyone. I wanted to dive in a little bit more on the acquisitions, if we could, I know Bill, you mentioned you're strategical, it's giving you a foothold in Latin America. You had some complimentary verticals and some synergies but in the context of levering the Company up a little bit over 5 turns. I just want to make sure I understand maybe a little bit more about that strategy, and what you see playing out from those 2, in particular, over the next couple of years? And then maybe if there's anything else you can provide around expectations around synergies that would be great. Thank you.
Philip McHugh: Thanks, Dan, it's great to hear from you. Let me give you a couple on -- I'll give you a review on leverage. I'll talk about the real basics. And then I could talk a bit about what we really liked about the deal and give color on those synergies. So when we kicked off on Paysafe and we started talking about our strategy, we talked about doing deals that we would see leverage go up, and then we'd see it go back down into that kind of mid-3, kind of 3.3-3.5 range. And that's 100% of our plan. That's our outlook when we see the performance of those businesses and the performance of Paysafe overall. So we feel really comfortable on that front. In terms of the deal basics, SafetyPay was 441 million all-cash transactions. With PagoEfectivo, it's about 550 million in total. We expect about 60 million of revenue and $20 million of EBITDA next year from those two pieces. Historically, the two business has had a kind of CAGR for the past 2 years, about a 55% topline growth rate. So they're very fast-growing businesses. It gives us a presence in 19 markets, including 11 Latin American markets. Either principal markets include Brazil, Mexico, Peru, Colombia, and Chile in terms of markets of note. Over 300 merchants and most importantly, 90% bank coverage. So these bids are predominantly open banking with some eCash in them, and with a single integration, you can access 90% of the networks for open banking solutions. So that's a snapshot of the deals. What we like about this, Dan. One, on a standalone basis, these are great businesses. They're very, very high growth businesses. They are very successful with a very high-demand APM and open banking in Latin America. And we see these as big trends. We see open banking as a major trend. We see eCash as a growing demand in Latin America, and we love the bank coverage. So a standalone snapshot really likes it. Two, aside from the incredibly strong management, we really like the -- that they are in the same sectors. They're growing at iGaming. They're growing online and video gaming, travel, and digital goods. And as we talk to our clients in the U.S., as an example, on iGaming, they want to expand obviously in the U.S., they won't expand in Canada but I'd say the majority of our clients have plans to expand in Latin America as well. So this does connect globally in an important way. And then on a synergy basis, I really think about income for five key synergies. One, there's clearly an obvious merchant cross-sell. We have global clients, where we can plug Latin America into, those relationships and vice versa. They have some strong strong clients that can plug in North America and Europe. Two, augmenting our wallet in our gateway. When you plug in Open Banking, you create a really, really effective way to pay, to accept payments in a gateway, to fund and pay in and payout on a wallet that's very competitive. Three, we really like the PagoEfectivo and SafetyPay synergies amongst those two brands as well. So there are two competitors in the market and this gives us a really good scaled position there. And then just 2 last points. There are some nice treasuries synergies. We put these companies together and we also like the fact that combined with our eCash business, we have over a million distribution points in 60 countries now. That hopefully gives you a bit of context and color on the deal.
Dan Perlin: That's great. Thank you very much.
Operator: Thank you. Our next question is coming from George Mahola of Cowen.
George: Hey guys, good morning, and thanks for taking my questions. I guess, firstly, Izzy, I want to make sure I understand the third quarter guide. Can you maybe help us frame what the expected growth rate would be, on a normalized basis? Factoring out the direct marketing, and obviously some of the other grow overs. What would that have implied if we didn't have those impacts?
Izzy Dawood: Yeah. Hey, George, good to hear from you. Yeah, let's dig into that. So obviously, we're seeing the recovery in Direct Marketing as Philip talked about. Once I got -- once you took to impact of direct marketing in Q3, you're roughly about 10% to 12%, 10% to 13% year-on-year growth in revenue. Again, as I've mentioned in prior calls for our conversations, that July, August, it's going to be interesting post - COVID to see what kind of activity we'll see. And we are seeing the seasonal quiet activity, the traditional slate of a lack of like sporting events in Europe. We're seeing all focused on vacation. So that's what we saw, that kind of what informs our Q3 guide for the most part. Does that kind of provide a little additional color there, George?
George: Yeah, that's actually exactly what I was looking for just to kind of get an apples-to-apples comparison. And then if I may just two more questions. I'm curious, like what I think the U.S. volumes being up 68%. So nice to see the strength there. I'm curious if you can talk a little bit about what you're seeing in Europe, maybe post to 2Q, how some of that reopening may be playing in. And then the last question for eCash. should we be assuming that growth is maybe, somewhat flattish year-over-year, in the third quarter? Appreciate the color, guys. Thank you.
Philip McHugh: I'll grab a little bit of that, and then maybe if you also grab onto it. So in Europe, a couple of things going. So we did see kind of a post - COVID reopening, the market's really open about. There are much more stringent lockdown, uncertainty kind of our U.S. comparison. So that's kind of creates some softness in the kind of online gambling space in the summer months. In addition to where we can consider regular soft seasonality in the summer as well. So we are seeing that one. Two, on the eCash side, it's been an incredibly strong story. We do see that tempering down and we've been very consistent about that. So we are starting to see signs of that slowing down. On the flip side, our eCommerce business, our integrated and eCommerce business is seeing an extremely strong pipeline of growth as we expand and build up a pipeline of new clients. So that's also creating some nice outlook for us as well. So you have a couple of things happening across Europe and international markets.
Izzy Dawood: And to close that out as specific on eCash. Definitely seeing that temper down, we're not going to see 30%+ growth, but we still see a pretty strong growth year-on-year in Q3 in the business. The work that  been doing, and the teams are doing, in terms of greater engagement with credentialed customers and alike, it's still driving our year-over-year growth, at least in Q3.
George: Very helpful. Thank you.
Operator: Thank you. Our next question is coming from Jason Kupferberg of Bank of America. Please go ahead.
Jason Kupferberg: Thanks, guys. Good morning. Maybe just to build on one of George's questions a little bit more. Can you maybe call out some specifics around quarter-to-date underlying acquiring volumes that you're seeing, whether it's kind of in-store versus e-com, just in light of the variant? I know there's a lot of interest in terms of what's happening in the recent weeks.
Izzy Dawood: Yes. So we don't have the in-store versus online handy, but we can see like August volumes would seem pretty consistent with July. I mean, it's up slightly up to flat, so we're seeing the momentum continue for the integrated processing business and feel pretty good about that overall.
Philip McHugh: Yes, we haven't noticed that debt because of the Delta variant coming through. We remain ed pretty positive on how the U.S. acquiring and SMB is performing.
Jason Kupferberg: Okay. That's good to hear. So on the EBITDA margins, I think for Q3, it looks like at the midpoint you'd be around 28%. And as you alluded to, there's a pretty big ramp implied in Q4 to get to the 32% target for the full year. So I know you rattled off a couple of the dynamics driving that, but can you just drill in a little bit regarding your visibility on that acceleration in the margin in the fourth quarter? Thanks, guys.
Philip McHugh: Hey, Jason, two good questions in there. So you're right on a reported basis the margin shrinks, but similar to what we did in Q2, we'll provide a look through on direct marketing and you'll see the continued margin expansion. I think we can look forward to that. So again, for more details, we'll call as part of the Q3 call. In Q4, there are a couple of three major things that we think about, right? That drives that ramp up. And again, recognizing that there is probably good comp out there from a seasonality basis for you guys to work with. But there are three major factors. One is the traditional active gaming activity in Q4, the holiday. So Digital Wallets' growth is pretty solid in Q4. That's one, second direct marketing. Sequentially, the headwinds start to abate. Based on the investments we're making, and the market starting to recover, that we see as well. The third and probably the most meaningful so is the on-boarding of a pretty strong pipeline in our integrated, e-commerce business. Right now, we anticipate that we'll continue driving the growth and absolute revenue as well as we head the form into Q3, and to Q4.
Jason Kupferberg: Okay. Well, thanks for the color. Appreciate it.
Operator: Thank you. Our next question is coming from David Togut of Evercore ISI. Please go ahead.
David Togut: Thank you. Good morning. Could you unpack your take rate expectations for Q3 and Q4 of this year that is embedded in your guidance? And more specifically, could you walk through your expectations for a digital wallet, eCash, and integrated processing. And then once we get beyond year-end, when should we start to see take rate on average begin to expand again if that in fact is part of your outlook for 2022?
Izzy Dawood: So David, a couple of questions, that I'm sure I was hopeful added towards the end. So we will talk about 2022 when we have greater clarity, obviously, when the time is right. But regarding taking rate, what you call impacts, if we continue to see really strong growth in the integrated processing segment and integrate e-commerce, naturally, we'll see the denominator effect lower the take rate. But as we show them the slides of taking rates by each of our individual businesses, I think pretty solid. Right? So it really becomes more of a denominator effect on what the growth is and if it's going to drive absolute revenue growth at or higher than our expectations I think we'll be pretty happy about that, right? It's just a matter of where we see more activity or more -- basically, more stickiness with our customers and growth as well. So that's one aspect of taking rates. In terms of the outlook for the rest of the year, again, Digital Wallets growth will help take rates, Direct Marketing will probably help take rates, and the integrated e-commerce and integrated process and growth will help take rates just a matter of the dynamics, right? But we will -- right now, the growth towards -- or the focus on absolute revenue growth has been kind of pretty good for us, and that's where we're staying focused.
Philip McHugh: Yeah, I think we gave a lot of detail on the take rates to really unpack that. We said -- we thought that was important to share and go in. In the individual business lines, we're seeing a consistent take rate, so it is a mixed business. And just as Izzy said, some of that eCash slow-down, eCommerce growth. Those are big mix issues, but ultimately the direct marketing recoveries as we go to early next year. That will be a tailwind on revenue, but also on taking rate.
David Togut: Understood. Would you expect eCash take rates to sustain at the 7.3% level?
Izzy Dawood: No, actually we expect to come down a little bit towards -- we always plan towards the  target of 7%. The last couple of quarters have been higher as we've just seen some additional pieces come through. But David I think 7% is kind of where we kind of wants to plan for on a medium to long-term basis.
David Togut: Understood. Thank you very much.
Operator: Thank you. Our next question is coming from Jamie Friedman of Susquehanna. Please go ahead.
Jamie Friedman: Hi. Good job with these slides and with the discussion. I really like Slide 20 and Slide 23. I just wanted to ask though, generally, are you comfortable with the March 9th, Analyst Day guidance on Page 37 out of 3 years? Because that's 2023, are you still comfortable directionally with that?
Philip McHugh: Directionally, absolutely. Jamie, as we talked about our long-term thesis. And I think it's showing through in our adjusted results as we've taken out Direct Marketing Pay Later, that
Izzy Dawood: to low teens revenue growth, high teens EBITDA growth, it's definitely coming through as we work with this transitional period with Direct Marketing. So yeah, and that's what our long-term outlook also showed that range. So yes, so far, today we're pretty comfortable with the overall outlook.
Jamie Friedman: And then Philip in your prepared remarks, and I don't have it exactly, I apologize, but you said something to the effect that Direct Marketing was -- correct me if I'm wrong, a little bit worse than you had thought. So can you just give us a sense of what you had thought and why it's worse? And if you can't quantify, just like what -- if you unpack that a little bit relative to what you had thought, that would be helpful.
Philip McHugh: Yes. Hi, this is  I'll take that one, Jamie, just to recap the issue. So in Q1, we did spend some time, on the call, talking about how we exited discrete client set in the first quarter. We talked about a $10 million impact in the first quarter and we said that it would take Q1 2022 to lap the issue. Right so, that should give you a sense of size and scope here. That is 90% of the same issue. The marginal comment is, as we've seen, the changes in the market which we anticipated, we have seen some market softness in general, as other players have also adjusted  some slight pullback in direct marketing investments, as the market adjusts back. So that's what we're seeing. So say just slightly, some slight pull down across the market, not just for us. But why we -- we talked about why we really like this business, we continue to invest in this business. We are seeing a recovery. We've been in lots of conversations with our direct marketing clients and they are focusing on reinvesting and go back into the market. There's talking about programs coming back on it at a much higher volume. And look, we've got the strongest risk management, a very wide set of bank partners, CRM partners, very strong relations with Visa and MasterCard on this. So it puts us in a really strong position to be that partner when this business turns around. So that's what we're seeing is that we had that discrete set and that's got to work its way through the numbers. Markets pulled back a little bit because of all the changes, but we see that coming back as the market stabilized and people start to reinvest in direct marketing campaigns.
Jamie Friedman: Got it. Thanks for the color.
Operator: Thank you. Our next question is coming from Darrin Peller of Wolfe Research. Please go ahead.
Darrin Peller: Hey, guys. I want to hone in on the Digital Wallet growth rate potential for a minute. When we started it off with what we're seeing in the quarter at 7%, I know a big part of the thesis on the story is the opportunity on Digital Wallet long -term. And that encompasses both the Digital Wallet side and the digitization of eCash as well. But when we think about versus the 7% and bridging that, whether it's anniversary you're referral partners or all the new products and Crypto or the U.S. opportunity, to something that I think is better into the double-digits you'd expect sustainably. Can you just walk us through those steps to get from 7% to potentially low-to-mid teens or something along those lines?
Philip McHugh: Hey, Darrin, a great question as always. Again, in the first quarter, we talked about exiting some of those network accounts in some specific markets. It's about a $20 million headwind in the first quarter is what we talked about. We're still seeing some of those impacts in the second, third quarter albeit at a lower level. And that's why it's turned from negative growth to positive growth. Because of the long-term basis, we really think about three things, one is just that core customer growth as we lap some of these legacy issues and you get back to some good strong and steady growth. Two is obviously the U.S. and Canada are two markets that are opening up, and in fact, that's so in Latin America is an area where gaming is growing, we do have some good positions there, some good customer basis. So we see that the geographic pieces, creating some nice lift. And the third one is really Crypto. We really do like this business. We see it more and more as becoming a major payment rail over time. We see it very similar to where iGaming was, let's say 10 years ago. And so we like that positioning. The Digital Wallets is very well-positioned there as driving sign-ups. So those are really the three big factors when I do the math to get us back to the kind of consistent 15+% growth.
Izzy Dawood: Yeah. And Darrin, I think you'll see it in 2 other aspects. In Q3, we start seeing that seasonal, quieter activity just because there are fewer games. But Q4 is when we're expecting the full good comparison to start showing up where you start seeing double-digit growth in Digital Wallets revenue.
Darrin Peller: Just timing on that would be what? Next year in your views or in '22?
Philip McHugh: For that, we'll start to see a good Q4 with some initial double-digit. And then in 2022, we'll start to see some more consistent growth.
Darrin Peller: Okay. And then -- thanks, Philip. Just quickly on the overall guidance, just how should we think about volume guidance for the year just given the moving parts and all the different puts and takes, I think you had previously said about a $100-$210 billion for the full year, and then just to, Izzy, if we could just finalize on the guidance for Q3, we're still getting investor questions on the puts and takes there, in terms of just making sure we have it straight because it seems like if you incorporate somewhat, around mid-teens Growth. In terms of the merchant or even high single-digit in the wallet side, the digital side, it's hard to get to numbers where you're guiding. It just seems pretty conservative unless we're missing something. So just maybe remind us of all the -- any element of conservatism in the outlook that you're putting in there, just how if we're missing anything? Thanks again, guys.
Philip McHugh: Sure. So a couple of things. One is on the volume side for -- I'll just start for the full year. Our volumes are going to come in meaningfully higher. We thinking it'd be probably closer to 130 billion to 140 billion actually, for the full-year. But again, that's just depending on how quickly or how fast integrated processing really grows but it's definitely higher than what we thought earlier in the year. That's one regardless of puts and takes on Q3, and just sticking to that, Darrin, a little bit more. eCash, obviously, we expect in the -- I would say above 8%-10% year-on-year. We see integrated processing also, and this is -- includes everything about, probably 10%-15% on integrated processing. Digital Wallets, year-on-year in Q3 will be a little weaker.  Again it's just a challenging comp, because Q3, 2020 really had a bunch of sporting events and lockdowns in Europe. And Q3 this year is effectively going to be great, quiet seasonally and as expected. So Q3 year-over-year comps basically have a decrease likely in revenue. Effectively it's slightly lower than Q2. That will make it a new one.
Darrin Peller: Okay. Thanks, guys.
Operator: Thank you. Our next question is coming from Josh Levin of Autonomous Research. Please go ahead.
Josh Levin: Hi. Good morning. I would like to ask a follow-up question on your Latin American expansion. A few months ago, I guess, back when the deal was announced in December, with your analyst presentation back in March, I remember the growth story here, really being about the season in the U.S. iGaming opportunity. Does the LatAm expansion strikes you as a bit of a change in strategy? is that accurate? And if so, what has caused your thinking on LatAm to evolve? And I guess the follow-up would be what -- how would you describe -- or what would be Paysafe's competitive advantage in Latin America? Thank you.
Philip McHugh: Thanks, Josh. I wouldn't call it a change in strategy at all. We talked very clearly about three buckets. We talked about winning in iGaming. We talked about expanding in deep verticals, either through APM s or through gateways. Those were the buckets of investments we talked about very consistent throughout. We still really like the U.S. iGaming we are investing in there. If we see the right deal for U.S. iGaming, we would be clearly an interested player there. That doesn't change our strategy at all. What we really liked about SafetyPay and PagoEfectivo is what I talked about earlier. One, when I look at the APMs, we do credit and debit card processing. We provide digital wallet sub-grade pay payout capabilities. We offer eCash, and more and more, we see Open Banking and Crypto as incredibly important payment rails. And when you do this, you're really completing all of the payment options for a merchant to grow. We see this in iGaming. We see this in a lot of our emerging verticals. So as we started to look at the deals, we got close and close. We really started to get more excited about it. It's started initially, there's an eCash cross-sell that's a nice play. But more and more, these are verticals therein. They're in iGaming. The clients that I have in Europe, that we have in the U.S. they have LatAm strategies. We can provide that now. So a single integration can get you a much broader set of payments across more and more markets. So it is driven by our client needs and there's lots of common overlap there. Two, we think Open Banking is a pretty major trend. It's a very attractive payment form factor. And we think expanding that Latin America into other emerging markets, is strategically very important, It definitely complements our iGaming position. It definitely complements our emerging vertical position as well. So those are the real drivers that we really like from a strategic point of view.
Josh Levin: Thank you.
Operator: Thank you. Our next question is coming from Timothy Chiodo of Credit Suisse. Please go ahead.
Timothy Chiodo: Thanks a lot. And echo Jamie's comments there on the Slide 20 is pretty helpful. I appreciate that. I'll come back to a follow-up on that one, but quickly on the guidance and I know we kind of hit on this earlier. I just want to drill in a little bit more. Relative to when you last reiterated the full-year guidance at the last earnings call, how is your take on the mix between Q3 and Q4 shifted? In other words, is this roughly the seasonality that you would have expected? Or are there some things that are happening under the hood that are positive that are giving you more confidence in what would seem to be a slightly implied higher Q4 exit rate heading into 2022?
Philip McHugh: Yeah. Hey, Tim, great question. And you're right. If you recall, we did talk about seeing how July, August,t kind of play out, right? In terms of if it's going to be anywhere close to 2020 or seasonally quieter compared to prior years. So this was always kind of where our expectation was there COVID. Post-COVID recovery comes through, we'll see obviously quieter activity in Europe, which we're seeing, and then a robust rebound in Q4. So relative to how we are planning and thinking about it, historically, how we're seeing this gaming activity. They're just kind of where we thought it would play out. And to your second point, in terms of an exit rate in Q4, we feel pretty confident about that, granted, there is going to be some seasonality that drives it. But overall, given the recovery, direct marketing, and the real strong pipeline in our integrated e-commerce business gives us a pretty good out, pretty good confidence welcoming you to Q4.
Timothy Chiodo: Okay, great. Thank you, Izzy. The follow-up is on Slide 20 on the integrated e-commerce segment. The take rate there and the 50 to 60 Basis points range. Could you just recap for us again, the reasons why that it's a little bit lower than U.S. acquiring? Is it things like Gateway mix? I think is a big part of it, but also is there a large merchant mix? Is there something with the verticals? Just a little more context on why that e-commerce take rate is a little bit lower than U.S. acquiring?
Philip McHugh: Yeah. I'll take that one. I think it's really important to call out, so the U.S. is a scale, we're a very scaled U.S. SMB player, right? So we're dealing with a smaller end of merchants with a mix of card-present card-not-present. So that -- they take rates you see there are very much in line with where the industry sits in the U.S. market. Our e-commerce business is global. It is focused on specialized verticals. These are larger international 100% e-commerce merchants, right. It's 100% digital. There is no card-present business here. So that's the profile of clients. So it's an iGaming client, it's video gaming, it is Crypto trading clients, it's travel. That's the type of sector that we're looking at. We can process in multiple markets. The mix of our gateway with single API, plugging in eCash and Digital Wallets and other APM's, risk management, that formula is really, really working. And so what you get is this larger scale e-commerce. So the margins are lower. The take rates are much lower, but because they are international and fairly specialized, you land more in the 50 to 60 Basis points versus let's say the 30 to 40 Basis points for an e - retailer if you will. So that's the profile of that business and we do see continued growth, very strong growth in that channel. We like what's happening there.
Timothy Chiodo: Thank you, Philip. As a quick follow-up, though, within that though, is there -- could you give me a rough sense of what portion of that is gateway only versus the portion that's taking acquiring risk?
Philip McHugh: It's a good question. I don't have that to hand. We can follow up. We'll go on that exact split. Then -- it's going to be a fairly significant portion we'll have acquiring on it. But I don't have the exact split to hand. So we can follow up with you to give you that breakdown.
Timothy Chiodo: Okay. Appreciate that. Thanks for taking those questions.
Operator: Unfortunately, we have run out of time for questions today. I would like to turn the floor back over to Mr. McHugh for closing comments.
Philip McHugh: Thanks. Thanks to everyone for the questions. We look forward to plenty of follow-up calls and conversations. I'll wrap it up with the following. Look, we really like what's happening in Q2 and the execution of the numbers. We're particularly excited about delivering an iGaming and being the de facto winner in the U.S. market. We really like the pipeline and the growth we're seeing in our emerging verticals. When you combine our e-commerce, you combine our Digital Wallets, you combine our eCash, and now Open Banking. We think we have a mix and a formula that is winning in some very, very valuable areas. We don't like the direct marketing noise just to our numbers, but we really like the business and we see that as a tailwind coming in next year. But overall, when we look at the pipeline in that direction, we feel very confident on the direction we feel very confident on the long-term thesis as well. And look forward to continuing to tell that story. Thanks, everybody.
Operator: Ladies and gentlemen. Thank you for your participation. You may disconnect your lines, or log off the webcast at this time, and have a wonderful day.